Operator: Good morning. And welcome to United Airlines Holdings' Earnings Conference Call for the Third Quarter 2024. My name is Krista, and I will be your conference facilitator today. Following the initial remarks from management, we will open the lines for questions [Operator Instructions]. This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Kristina Edwards, Managing Director of Investor Relations. Please go ahead.
Kristina Edwards: Thank you, Krista. Good morning, everyone. And welcome to United's Third Quarter 2024 Earnings Conference Call. Yesterday, we issued our earnings release, which is available on our Web site at ir.united.com. Information in yesterday's release and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations. All forward-looking statements are based upon information currently available to the company. A number of these factors could cause actual results to differ materially from our current expectations. Please refer to our earnings release, Form 10-K and 10-Q and other reports filed with the SEC by United Airlines Holdings and United Airlines for a more thorough description of these factors. Unless otherwise noted, we will be discussing our financial metrics on a non-GAAP basis on this call. Please refer to the related definitions and reconciliations in our press release. For a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures, please refer to the tables at the end of our earnings release. Joining us on the call today to discuss our results and outlook are Chief Executive Officer, Scott Kirby; President, Brett Hart; Executive Vice President and Chief Customer Officer, Linda Jojo; Executive Vice President and Chief Commercial Officer, Andrew Nocella; and Executive Vice President and Chief Financial Officer, Mike Leskinen. In addition, we have other members of the executive team on the line available to assist with the Q&A. And now I'd like to turn the call over to Scott.
Scott Kirby: All right. Thanks, Kristina. And good morning, everyone. Before we start, I want to acknowledge the devastation that has occurred in the Southeast due to severe hurricanes that impacted the region. The United team has been working overtime to get our customers and employees safely in and out of the impacted areas. We've also raised hurricane relief funds and transported humanitarian aid to the region. Turning to the quarter. The inflection we spoke about on our last call has happened and we're seeing unprofitable capacity to begin to exit the market, leading to the expected domestic yield improvement. We once again delivered a solid quarter, and I want to thank the United team for taking care of our customers and producing these strong results all while strengthening the culture that puts the safety of our customers and employees first. Today's results are another proof point of what we've been outlining was going to happen on these calls for several years now, both at United and in the industry more broadly. So how have we gotten here? Over the last several years, United has worked hard to improve the customer experience. That starts with a great culture and great people that are proud to be a part of United and want you, our customers, to feel the same way. Over a multiyear period, we've also made significant product investments that are important to our customers, like new aircraft with seatback screens and power in every seat, expanding clubs and the fastest WiFi in the industry with Starlink. United is also the clear innovation leader in global aviation and our technology is now without question the best of any airline in the world and by a wide margin. One of the most common comments I get from customers now is about how much better the United app is than any other airline. But no investment has been more important than the almost $10 billion investment we've made in our people over the last four years. During this time, we also reached industry leading contracts with four of our five major work groups. We're currently in federal mediation with the AFA who are committed to reaching the same kind of agreement for our flight attendants. But we knew that doing all of that following COVID would be difficult, we could have just hoped that the world would revert to pre-covid norms. That's allowed us to be consistently ahead of the curve and often move opposite the consensus and we've been consistently right. All of these actions and investments combined with our United Next plan have propelled United to a leadership position operationally, financially and for our customers' employees. All these actions position United to provide benefits to all of our stakeholders, financially stable, secure careers for our people, improved experience for customers. And now that we've done those two things, we can return value to our shareholders. This success has led to our strong financial results that have facilitated our ability to restore our balance sheet and position us to take the next step in solidifying our leadership position in the industry. Our Board of Directors has approved a $1.5 billion share repurchase program. Mike will go into the details about our capital allocation framework but this is a critical next step for United as we work to create value for all of our stakeholders. We're proud of our current results and excited about the innovation that we have ahead for customers. We're also glad to see that the industry inflection point, which we've been predicting, has actually happened. We believe that all sets United up to expand margin in the years to come. And with that, I'll hand it to Brett.
Brett Hart: Thank you, Scott. And good morning. I'd also like to thank the United team for closing out this summer on a high note. This quarter was the busiest third quarter in company history, setting the company records for the most ever passengers carried on the July 4th and Labor Day holidays and for the highest number of customers carried in a day at 552,000 in July. Despite record numbers of passengers and challenging weather across our network, we ranked first in on-time departure and second in on-time arrival amongst major US airlines for the third quarter with the best on-time departure in the months of August and September. These results are a testament to the investments we have made in our operations, resources and tools to bolster the durability and resilience of our operation. These investments, along with what we've learned from operating in challenging geographies, has further improved our recovery during weather and irregular operations events. In addition, our safety measures have only become stronger this year with additional investments in our people and technology. This year, we launched training for our pilots focused on safety and professionalism and more will be rolled out next year. We added additional safety resources across the operation and we are investing in new technology that will make it easier for employees to engage with our safety programs. Running a safe and reliable operation is the backbone of this airline and one of the many contributors to the success of our business. Investing in the customer experience has also been key to widening our competitive advantage. Our NPS scores continue to reflect the benefit from these investments. Our third quarter NPS was up 5 points versus the same period last year and is up 24 points versus 2019 year-to-date. These results would not have been possible without the vision and leadership of our Executive Vice President and Chief Customer Officer, Linda Jojo. Last month, Linda shared the news that she will retire at the end of this year. In her 10 years, Linda led a team that revolutionized air travel and has enabled so many of our industry leading customer innovations. These innovations have continued to set United apart and have delivered real value to our brand and our business. But the most lasting element of her legacy is likely to be the impact that she had on our culture and is well known across the company. Her commitment to mentoring the next generation of leaders at United, especially women. Countless people, men and women across the airline, not just on her team, have benefited from Linda's wisdom and her willingness to generously share it. Her leadership will not be easily replaced but it's certainly an example we'll aim to follow. Now that I have thoroughly embarrassed her, let me hand it off to Linda to talk about the changes she has seen at United in her 10 years.
Linda Jojo: Thanks, Brett. We believe that United has the best hub cities, the best network and the best people. But to create an airline that customers choose to fly, we need to deliver a great customer experience. That's why over the last decade, we've invested over $14 billion in technology to help our employees work more efficiently and deliver outstanding service. We believe these investments give United a unique competitive advantage further strengthening our brand and foster a culture of innovation that's hard to match. For example, one of the first decisions we made when I joined United was to issue iPhones to our flight attendants. Once these devices were in our employees' hands, it unlocked a new way of thinking for both our frontline and our digital technology teams. These devices now help our flight attendants deliver more personalized service, from recognizing someone's birthday to offering in the moment care, to sharing connecting gate information, building a stronger connections with our customers and drive our higher NPS scores along the way. We've also moved to a paperless flight deck, issued iPads to our technicians, upgraded our contact center, crew scheduling and airport tools, resulting in more efficient aircraft turns and better crew communication, especially during our regular operations. This culture of innovation, combined with our investments in our technology infrastructure, enabled us to launch dozens of industry first capabilities for our customers and employees. For example, we launched Connection Saver more than five years ago, saving the day for over 3 million customers since then. This is a customer benefit still not copied by other airlines. Like Scott, I'm very proud of our app. It's used by nearly 90% of our customers on the day of travel where they can save up to 30 minutes at the airport. And when things don't go as planned, we take steps to automatically rebook you and we've introduced new features like allowing customers to list standby for earlier flights and access to hotel and meal vouchers. Our self-service success rates in the app have doubled since making these changes, which translates to customers getting on their way faster and our employees freed up to assist those customers who need more help. Our patented Agent on Demand technology gives customers the option to text, talk or video call a live agent from the United app and enables our teams to collaborate across airports, aligning our people resources to where they're needed most. During a recent storm in Houston, over 7,000 customers got help from live United Airport agents already on duty in other airports who were not impacted by the storm. Our pace of innovation continues. So far this year, we've allowed customers to be automatically moved to a preferred seat, created a flight filter so travelers can confirm that aircraft can accommodate their wheelchair, expanded live activities to Apple Watch and signed the industry's largest deal with Starlink for in-flight WiFi. The Starlink announcement was a full circle moment for me. Finding a way to improve in flight WiFi has been a year's long challenge. And like when we gave iPhones to our flight attendants nearly a decade ago, I think this will completely transform the onboard experience in ways we probably can't imagine today. And that's why I can't wait to see what the team will do next. I'll now hand it over to Andrew to talk about the revenue environment.
Andrew Nocella: It's been an exciting decade at United. Thank you, Linda. At United, we take great pride in our leading RASM results over the last few years. Our segmentation strategies, multiple product choices from basics to Polaris and network capacity deployment decisions have created strong relative margins for United versus others. Elimination of change fees and the swapping out of single class RJs for mainland jets has been very positive for United and negative for our competitors. Turning to our third quarter revenue results. United's top line revenue grew 2.5% year-over-year to $14.8 billion on 4.1% more capacity versus the third quarter of '23. Consolidated TRASM was down 1.6% year-over-year aligned with our expectations of a challenging domestic industry capacity dynamic in July. As expected, we reached the domestic inflection point. Domestic PRASM was slightly positive in August and September year-over-year, which was a material improvement from earlier in the quarter where it was down 4%. United's domestic capacity in 2024 was shaped with the expectation that the industry would remove unprofitable capacity in earnest in Q4. As a result, United expanded slower than most during the first three quarters of the year when capacity dynamics were less favorable, but importantly, our timing was right, tilting our growth to the quarter where the industry conditions would be the best. Network and business model changes due to large financial losses by others are resulting in an improving domestic and near Latin America pricing and yield environment. We expect more of the same in 2025. The timing of our growth push in Europe in 2022 and 2023 proved to be spot on with the recovery in demand post pandemic. This year, we allowed capacity added in 2022 and 2023 to mature creating good RASM results. We entered Q4 with momentum across the Atlantic as RASM growth was strongest as we exited Q3 at plus 4%. We've gotten pretty good at knowing when and where to grow and just as importantly knowing when and where not to grow. While our Asia Pacific network is solidly profitable, Asia RASM was challenged in the quarter as we continue to face China and South Pacific headwinds driven by simply returning to a more numeralized revenue environment. United expanded Asia capacity by 27% year-over-year in Q3 and 50% in the last 12 months. Pivoting capacity across the network remains a focus as we enter Q4. We're in the process of reallocating underperforming narrowbody capacity in our Guam operation to create new revenue pools and connectivity in Tokyo. United's planned Pacific growth will moderate to 7% in Q4 and further again in 2025. We plan to return to a more typical Pacific growth rate once our post pandemic network is fully restored. With stronger year-over-year performance expected across the Atlantic and Pacific in Q4, United is also seeing a much better global year-over-year RASM outlook versus Q3. We remain bullish about the long-term growth prospects of our global [long offline]. The structural shift in profitability is evident in two of the three international entities at United so far in 2024. We're optimistic that performance to Latin America will improve in the coming quarters as the region is seeing significant capacity rationalization by low margin airlines. United’s network health remained strong. All United hubs and all four entities produce profits in Q3, produce profits year-to-date and produce profits over the last 12 months. Corporate demand acceleration was nice to see in September across all regions and is expected to continue into Q4. Contracted corporate revenues were up 13% in September, at 95% of 2019 revenues, which is 13 points higher than July and August. United is centered in the largest business markets as corporate demand expands and we expect a material tailwind. Load factor for managed business was down nearly 2.5 points in Q3 still versus 2019 and we look forward to a slow but steady gains as we enter 2025. We've seen eight of the top 10 biggest post pandemic corporate revenue booking days since the start of September, including the biggest day in United's history. RASM in United's premium cabins was up 2% in Q3. Premium cabin RASMs performed better than main cabin in all entities during the quarter. On the other end of the spectrum, basic economy remains an important product with volumes up 21% year-over-year. MileagePlus revenue was up 11% and our Connected Media business continues to spool up as we invest in technology and seatback screens to create new high margin revenue streams. Active membership at MileagePlus was up 13% year-over-year and holders of our credit card have reached a new penetration record with credit card spend reaching new records up 9% year-over-year showing flyers increasingly engaged with all United has to offer. I will end with a quick view of the revenue setup for early 2025. Much of the revenue challenges we have seen in Q3 on weak [leisure] yields for domestic leisure customers who book travel far out. As we look into Q1, we're selling these very same tickets yields that are much higher. We believe Q1 yield strength will be possible due to the significant schedule changes and business model changes that will continue to be implemented by low margin airlines. While there's still a bunch of noise in Q4 due to the multiple calendar shifts that make the positive magnitude of the domestic revenue pivot a bit difficult to see for some, the environment is improving rapidly just as we anticipated. In addition to the positive leisure yields we expect in Q1, we're clearly seeing an acceleration of return to office policies, which are driving corporate traffic revenue growth at an accelerated level and creating a great setup for 2025. Further, as I said earlier, Asia unit revenues have clearly pivoted in Q4. Thanks to the entire team for a job well done. With that, I'll turn it over to Mike to discuss our financial results.
Mike Leskinen: Thanks, Andrew. And thank you to the United team for another solid quarter. In the third quarter, we delivered a pretax margin of 9.7% and earnings per share of $3.33, above the high end of our guidance range despite challenges from the CrowdStrike outage and suspension of our flights to Tel Aviv and Aman. Revenue trends improved across most geographies as industry capacity rationalized, all while we saw a relief in fuel prices. Customers continue to choose United as we invest in our hard product, our people and a resilient operation. Turning to costs in the quarter. CASM ex was up 6.5% on 4.1% capacity growth versus the third quarter of last year. We expected CASM ex to be pressured in the quarter with lower capacity growth. This was further amplified with an approximately 1 point reduction in capacity from CrowdStrike and suspension of Tel Aviv and Aman. As we look to the fourth quarter, we expect some unit cost improvement as labor headwinds moderate and our capacity growth steps back up. We expect that our costs will remain pressured from previous capacity reductions in both our domestic and Atlantic schedules and delivery delays from Airbus and Boeing. As we look ahead to CASM ex in 2025, we expect to see tailwinds from better utilization and firmer capacity plans, assuming OEM delivery delays moderate. We expect to continue to see pressure from our labor agreements of around 2 to 3 points, which should be an industry headwind as well. For the fourth quarter, we expect earnings per share to be between $2.50 and $3. Turning to the fleet. In the quarter, we took delivery of 17 Boeing MAX aircraft and three A321neo aircraft. In the fourth quarter, we expect to take delivery of 19 narrowbody aircraft and three widebody aircraft, our estimate accounts for our current assessment of the impact of delays at both Airbus and Boeing. With these deliveries, we now expect full year adjusted capital expenditures to be less than $6.5 billion. On capital allocation, our United Next plan is working and the airline industry is in the midst of a positive transformation. A decommoditization of customers are choosing United based on the wide selection of products from premium international seats to flexible travel for domestic business travelers and basic economy for our price sensitive customers. Our investments have solidified a leading position for us in the industry. As our strategy has worked, our relative profitability has improved materially but our stock hasn't kept up. We believe there's tremendous value in our shares and now have the balance sheet and free cash flow to opportunistically repurchase those shares. Our Board of Directors has approved a $1.5 billion share repurchase program that we intend to execute beginning this quarter and throughout 2025. This program will be funded by free cash flow generation as we expect our profitability to improve. It's imperative that we balance our priorities of investing in the business and consistently returning value to our shareholders while also deleveraging. Our current net leverage is 2.7 times and we are targeting below 2 times in the next few years. In parallel with this new buyback authorization, I'm happy to share that we've already repurchased approximately $82 million of shares that were issued when a portion of the warrants originally granted to the US Treasury under the Cares Act and Payroll Support Program were exercised during the quarter. The repurchase of just over 2 million shares fully offsets the dilution associated with these exercise warrants. The shares were purchased at an average price of $39.99. We are delivering on our financial commitments and expect to deliver on our EPS guidance for the second year in a row. We are greatly encouraged by our third quarter performance and the progress we've made to positively differentiate our product, increase TRASM, improve our balance sheet and now return cash to shareholders. The future at United Airlines is incredibly bright. With that, I'll pass it over to Kristina to start the Q&A.
Kristina Edwards: We'll now take questions from the analyst community. Please limit yourself to one question and if needed one follow-up question. Krista, please describe the procedure to ask the question.
Operator: [Operator Instructions] And the first question comes from Conor Cunningham with Melius Research.
Conor Cunningham: A question I get pretty often from investors is just how you plan to capitalize on an evolving industry backdrop in '25. Many of your competitors are making significant changes to the network and product. When you take a step back where do you see the biggest opportunity in the US domestic market next year?
Scott Kirby: I'll try to take it. We're focused on United and our outlook and continuing to develop the United Next plan. And so there's a lot of opportunity. I think, first of all, we're going to continue to build connectivity in our Mid-Con hubs. We've had that as one of our north stars for a long time and we'll continue to do that. But we're also going to continue to invest in the customer to make our product one that they choose more and more often and we continue to see market share gains related to that. And then I think the last point I would say is particularly from a corporate point of view, we see corporate traffic accelerating that's United’s bread and butter, we've been waiting for that to happen for a while. It's particularly important in Q1 and we think it's going to happen in Q1, and that creates a great set up for us. So we're going to stay focused on building products that customers want to buy. We're going to stay focused on building our high yield share as we go forward and building connectivity and, of course, building our global network, which has done incredibly well over the last few years.
Conor Cunningham: And then maybe just sticking with or going back to United Next. When you first laid that plan out in 2021, obviously, a lot has changed, you're forecasting double digit pretax margin by 2026. I was just curious if you could update us on your thought process and how you get to that double digit margin? You've obviously done a very good job of pivoting and driving margins relative to others. But just any thoughts there would be helpful.
Scott Kirby: For the past couple of years, we've been describing an industry evolution that we're confident will lead to higher margins. We anticipated that we'd reach an inflection point that would kick off a multiyear run that looked a lot like the 2012 to 2014 for airline earnings and investors. For some history, in 2011, each of Delta, United and Southwest had pretax margins between 3% and 4%. Southwest committed to low growth until they rolled -- to hit a certain target, and they lived up to that commitment for the next three years. Three years later, their margins have expanded by 9 points. So the network carriers had expanded by an average of about 8 points. That all happened even while the ULCCs were growing 15% to 20% per year. Fast forward to today, Southwest and one other airline, one of the large airlines, start with margins that are actually even lower in absolute than they were in 2011 and relative margins that are significantly worse than they were in 2011. In response, Southwest has once again made a long term capacity commitment at the same time that the ULCC may not even survive much less grow 15% to 20%. And while we've been predicting this scenario would happen, it's no longer theoretical. It happened in mid-August. The only question now is how much margins expand compared to what happened in the 2012 to 2014 time period. I suppose you can have a reasonable debate about whether it will be the same 8 to 9 points or something less. But regardless, there's likely going to be a meaningful expansion of margins in each of the next three years.
Operator: Your next question comes from the line of David Vernon from Bernstein.
David Vernon: I had a question on sort of the international expansion. This sounds like a differentiated strategy that sort of leans into the idea of [wanderlust]. Can you just talk a little bit about the rationale here and maybe your process for picking, I don't know, Nuuk, Greenland, to add to the system versus any other city? And what kind of impact seasoning some of these newer routes that are kind of undiscovered country may have on results for next year?
Scott Kirby: We spend a lot of time debating how and where we'll grow. And this announcement has clearly caught the attention of a lot of people, most importantly, our customers, and I think it's a very exciting announcement. But the backdrop for the announcement is the fact that United Airlines simply has the best global gateways in the business. And those global gateways allow us to fly successfully to a broad range of destinations. We heavily fly into our partner hubs, which is the traditional model in our business but we're also able to do just as well financially outside of our partner hubs. And so we look across the globe, we look for new destinations, we look for hot destinations and destinations, most importantly, we can make money in. We have a really good track record of this, very little of what we've added over the last few years we have canceled. And so as we look forward, we look for those new destinations. And at the end of the day, Greenland has got a lot of attention but it is only two 373s per week. So its impact on our system will be small. But its impact on United, our brand and our customer profile and sign-ups for MileagePlus will be great. And there is so much more possible on this front than even I thought it was possible five or six years ago. As the United Next plan builds the connectivity, as our global hubs are just in these great cities with high volumes of cargo, high volumes of leisure traffic and most importantly, high volumes of business traffic, we just have a lot to unlock out there. We'll do it very carefully. We'll make sure we're growing profitably but expect more to come on this front.
David Vernon: And then maybe just as a brief follow-up on the widebody situation. Boeing's announced they're going to have another delay on the 777X. How do you think that's going to affect sort of supply demand as you're looking out the next couple of years, the delays in that production platform for the next generation widebody?
Scott Kirby: So we've talked about this many times since -- even in the middle of the pandemic, we thought there is a structural shift in global capacity, a lot of A380s and other widebodies are grounded and many of those aircraft remain grounded, although airlines are bringing some back, there's no doubt about that. The fact is that the production lines for widebody aircraft probably will not keep up with demand over the next three to five years based on everything we see. And that, in turn, I think, creates a better setup for the global long haul network. We obviously remain bullish on it based on our announcement last week and we'll do it prudently, but we think the setup is pretty good and the 777X appears to be delayed yet again.
Mike Leskinen: I'll just pile on. We're more focused on the 787 delays as you might expect us to be. And we're rooting for Boeing and they are certainly making some smart decisions. We would applaud their -- at least the rumor decision to raise some equity in the capital markets to stabilize the business. But as we see delays on the 787s, we would expect that there's a bias downward in CapEx if those delivery delays continue.
Operator: Your next question comes from the line of Andrew Dedorio with Bank of America.
Andrew Dedorio: Kind of piggybacking off of that last question, maybe Scott or Mike. I mean, bigger picture, what do you see as the implications across your company from the Boeing strike? And then Mike, just kind of following up on your last answer. Like -- is it fair -- is it reasonable to expect something in the lower end of your $7 billion to $9 billion CapEx range next year just given everything we know from a production perspective?
Scott Kirby: Well, I'll start big picture and then let Mike give you the CapEx answers. What I care about with Boeing is the long term. We're trying to build the best airline in the history of Aviation for the long term, and I'm very focused on the long term. And I am actually encouraged with Boeing. Mike already referenced it, but the challenge at Boeing, to my view, for decades been that the cultural challenge where they focused on short term profitability and the short term stock price at the expense of what made Boeing great, which is building great products, great engineering, great quality, reliability, safety that you could count on. And I think Kelly Ortberg is pivoting the company back to their roots. I think all the employees of Boeing will rally around that. To me, the biggest news in the last couple of decades, really at Boeing is the willingness -- reported willingness to sell equity that's making the right long term decision regardless of what the Street thinks about it in the short term. So I applaud them for doing that as a long term customer, it's right thing to do for the shareholders long term also. And so I'm encouraged with the changes that they're making. The strike is, in a lot of ways, a cultural legacy of the same issues that have happened over the past couple of decades. It's tough but they will get through it. I'm confident they will. I certain that all of the folks that are out on the picket line now along with the management team all share a desire to make Boeing great and be part of a great company that's one of the most important companies in the world. And so they'll ultimately work through this. It's going to be -- we're going to have two airplanes in the near term than we would have been hoping for, but our eye is focused on the long term. I wanted to get through it and build a company that can work for the long term. And then I think we're -- have a really good set up.
Mike Leskinen: Andrew, let me pile on, and let me be clear. The aircraft we have on order with Boeing and Airbus based on the profitability that you're seeing in our results for the third quarter based off our forward expectation for profitability, we want those aircraft and we want them as soon as Boeing can complete them and deliver them. That said, pragmatically, as these delays are unlikely to be resolved quickly, we would expect down -- we do have a downward bias to CapEx. I expect it to stay within that range and we'll give more precise guidance on the January call when we normally would. But you're correct to assume downward bias based on production delays.
Operator: Your next question comes from the line of James Baker with JPMorgan.
James Baker: So a couple for Andrew. Looking back at this past summer, the elevated capacity, the associated pressure on yields. I'm sympathetic, I guess, for lack of a better term, that several of your competitors threw as much capacity at the peak as they could, particularly airlines that are struggling for even the scantest taste of profitability. I know a lot can change between now and next summer. But shouldn’t we assume that maybe this is the new normal? So as LMAs continue to struggle they'll just throw as much capacity at the peaks. So those peaks become a little bit softer, off peaks become firmer, more than the seasonal trends that we've seen in the past? Any thoughts on that?
Andrew Nocella: I didn't know you're so sympathetic, James…
James Baker: Well, I just kind of get their logic. I mean, it obviously didn't help, but no, I'm not claiming to be a chair or anything…
Andrew Nocella: Well, look, I'm not an expert on their business model other than their business models are clearly struggling and they are changing them as rapidly as they can. However, it is hard to change the -- it's hard to change your spots that quickly. Of course, they did exactly what you described. I think I went through the stages of grief on what you do in [that situation] a couple of quarters ago, quarters ago, and I think that is one of the stages of grief. When you wind up at an airline that has this complete imbalance of utilization where you have unproductive uses for a majority of our aircraft for six or seven months per year, and I'm not sure that financial model works either. We'll have to wait and see. The point of all that is there's an incredible amount of unprofitable capacity in the United States marketplace. We've seen that exiting at a rapid pace starting in mid-August, that continues into next year. And my expectation is that we'll continue, at the same time that international remains strong, that business traffic, which is our bread and butter remains strong, and we can march towards higher margins, as Scott talked about, as this evolution occur. So I remain bullish that where we are right now is only getting better and the changes we've seen so far only -- actually the tip of the iceberg is the models just don't work in that way in my mind that you can work for six months and not the other six months.
James Baker: And then on the 20 -- I think you said 21% rise in basic economy volumes. So my ability to track basic economy supply is obviously limited. I'm assuming you track it internally. Can you comment on how your basic economy inventory compares with that of Delta and American? And with growth of this magnitude, I mean, is it United's intent to essentially become the largest supplier of discount capacity domestically down the road, although by some measures perhaps that's already been achieved?
Andrew Nocella: Well, look, our intent is to expand our margins, to be really clear. Our intent is to offer a full range of products to customers, particularly in our hubs that want everything from basic to Polaris. And we will pivot the amount of capacity we offer in all those categories based on expanding our margins. But we have come to the firm conclusion that offering basic and offered in a substantial amount of volume is good to United, is profitable for United and is bad for our competitors. And so we are going to continue to do what's good for United. It expanded. I think it's in the neighborhood of 15% to 16% of our domestic passenger volumes right now. As we grow our gauge with lower marginal costs, I think it could go higher as we go forward. But again, we'll pivot and do what's right for the bottom line at the end of the day. But I would say that the experiment with basic, which was an experiment seven, eight or nine years ago, is a solid home run and has changed the business dramatically to our benefit.
Operator: Your next question comes from the line of Tom Fitzgerald with TD Cowen.
Tom Fitzgerald: Would you help us understand the sizing of the contribution from MileagePlus and Kinective Media on margin expansion in 2025?
Andrew Nocella: I don't think we're prepared to do that today. MileagePlus is a jewel in our business and has not been focused on enough over the last few years. And we took a different path about a year ago when we hired Richard Nunn. We took a different path as we invest in the technology there. That investment in technology is going to do a lot of things for our business first and foremost, it's going to allow us to personalize service to our customers in a way that I don't think any airline has done. Of course, Starlink is a core part of that, which obviously was just recently announced. So we'll have a lot more to say on this but it is going to be material. It's going to spool up starting next year. But I'm going to have to -- I'm not going to give you the details today on that, but it's pretty substantial.
Scott Kirby: Tom, I'm going to give you a little bit of detail. And that is that in '25, this is an investment phase. We're going to -- it's going to not be losing money, we'll make a little bit of money on in ‘25 but this really starts to accelerate in '26 and beyond. So as you think about modeling '25 though, we've got ton of momentum in the core business. I wouldn't layer a bunch of MileagePlus connected revenue on in 2025. I do expect we'll be giving more and more disclosure so you can model this on your own. You don't have that information at this time but I'm committed to getting you more information to allow you to model it for yourself.
Andrew Nocella: And I'll just bring up one other point -- I was going to bring up one other point. The program is doing incredibly well. And again, we don't talk about it enough and we should. But revenue from the premier population in the quarter was up 9% and that drove the majority of the revenue growth at the airline. And so our premier members are heavily engaged with us. As I said earlier, they hold the credit card in record numbers and they're spending record amounts on their credit cards. But the fact that the premier population base is doing that much more revenue on a base that is actually close to flat, because we've made sure that we can deliver benefits to all of our premium members and we held the level of premium members flat, the program is doing incredibly well.
Tom Fitzgerald: And would you mind just elaborating a little bit on what the customer reaction to Kinective has been and then maybe some of the early reactions on brands that are advertising on the platform?
Andrew Nocella: I think our activities to date have been rather small. There's been no customer reaction that I could speak of.
Operator: Your next question comes from the line of Scott Group with Wolfe Research.
Scott Group: So when I look at third quarter, CASM ex is up about 6, RASM is down about 1. When do you think we see an inflection with RASM up more than CASM? I don't think it's fourth quarter, but if you have any color on Q4. And ultimately, I guess, do you have confidence that we see that in '25 with RASM up more than CASM?
Mike Leskinen: Scott, let me answer that simply. In '25, we would expect that inflection. We're not going to give you guidance on quarter-by-quarter at this time as we traditionally wouldn't, but we absolutely expect that inflection in the calendar year 2025. I shared in my prepared remarks the kind of some pacing of CASM ex, but let me repeat for clarity. Q3, I expect will be the peak for CASM ex. We expect CASM ex to decline into the fourth quarter and to decline further into 2025. We're going to work aggressively to cut all the costs that we should to run an efficient operation. And so I'm committed to that personally and the team is working hard to make sure we run a very, very efficient operation. At the same time, we're going to continue to invest in the customer because we're not focused on CASM ex as a metric at United. We're focused on driving profitability. And through no excuses philosophy, we've been really good at delivering on bottom line earnings per share growth and we're committed to continuing to do that, and we have the right balance of cutting the costs that are around efficiency, but adding the costs that are driving customers to increasingly choose United.
Scott Group: And just a follow-up, maybe just some directional color on your RASM expectations for Q4, positive, negative, flat and then some of the differences in the regions would be helpful.
Andrew Nocella: Well, I want to answer that question, but I will give you another hint. So January -- and I'm going to talk about Q1 because I can. January is currently 77 days from the start of the month and 107 days from the end of the month. At this same point, domestic yields were down 9% in July, down 2% in September and up 3% in January. And so the yield environment is just looking good, really booked to a small percentage of our booking curve for January. But I just want to say that Q1 is shaping up well as the pricing environment looks better, capacity is, obviously, different across the industry and business traffic continues to rebound.
Operator: Your next question comes from the line of Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth: Domestically, are there any regions that stick out in terms of recovery, specifically as it relates to corporate, are you seeing any signs of recovery in lagging West Coast markets like San Francisco?
Scott Kirby: It would be the opposite. So the coastal hubs are stronger than the interior hubs. In the corporate bucket, professional services, financial services and tech are growing fastest, where energy and a few other things are growing slow. But all verticals are growing and corporate traffic looks good but the coastal hubs are much stronger than the interior hubs at this point.
Duane Pfennigwerth: And then Mike touched on it and I think it came up in a couple of questions, but just contrasting the setup on the kind of step-up in growth in 2025 or the step up in CapEx in 2025 versus prior years where it was a little bit of a placeholder given OEM constraints. Does the setup feel different now looking into 2025? I know you recast and derisked some of your deliveries. But is your confidence higher into 2025 growth or about the same than it was this time last year into 2024?
Mike Leskinen: Duane, I think you're asking me about CapEx expectations in '25?
Duane Pfennigwerth: CapEx and really growth, just that it was -- in prior years, it was a placeholder at this point in time, given OEM constraints and you have a better view into how those work out than we do on the outside. I'm just wondering if the confidence is any higher now into your planned growth than it has been in prior years?
Mike Leskinen: Let me try to be responsive. We've been very clear about a range of CapEx at $7 billion to $9 billion. And as we sit here today, given the strike at Boeing, given other delays, we'd expect there to be a downward bias within the range for CapEx in 2025. Now separately -- there's a relationship, but separately, thinking about capacity in 2025, we're not going to give guidance for capacity in '25 at this point. But you can trust us, you should expect we have earned that trust that we're going to fly the capacity to maximize profitability for United.
Operator: Your next question comes from the line of Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu: We touched on this a little bit, but maybe we could parse it a little bit more on the domestic RASM down 0.8% in Q3 from 1.9% in Q2. It doesn't seem like much, but Andrew, I think you just gave a little bit of color on how July was and how August trended. It seems a much bigger step improvement. So maybe can you talk about what drove that? Was it the -- how much was capacity, how much was corporate, how much was share gain in economy? Any details you could provide?
Andrew Nocella: I'll try. I mean, it was a lot of things. I will say that September was dramatically better than July. July was clearly the low point for the year in terms of year-over-year RASM. We saw gains really in all the entities, but September, again, was much better. We expect Pacific market to also improve as we head into Q4. Business traffic was up, I think, about 6% in the whole quarter, but it was up 13% in September to give you an idea of the spool up. So we exited the quarter with some really, I think, much better performance and we were hopeful that, that performance translates into good quality earnings in Q4 and beyond. Hopefully, that -- does that answer your question?
Sheila Kahyaoglu: A little bit. Maybe I could follow up on the Q1 comments that you made with the bookings being so strong, but only minimally booked. So how do we think about what drove that strength into Q1 and how you're seeing that, is it -- like where is that trend coming from, is it different than what you saw in the Q3 September performance?
Andrew Nocella: I don't have it by geography. But what we are seeing is that there's just a much better pricing environment for leisure yields that look very early in the booking curve. And we attribute that to changes in capacity, the elimination of unprofitable capacity, better business bookings, although very slim at this point and changes at business models of the low margin airlines. All of these factors are leading to what we anticipate will be a much stronger environment in 2025 for United Airlines.
Operator: Your next question comes from the line of Brandon Oglenski with Barclays.
Brandon Oglenski: Congrats on retirement Linda and congrats to the team on a pretty strong 3Q outcome here with all the headwinds that you had. Mike, I really like to know excuses attitude here, the share repurchase definitely a vote of confidence. I guess, can you help investors -- because we understand the CapEx dynamics next year. But longer term, you guys are going to be in this range of $7 billion to $9 billion, that is a little elevated compared to others. But how integral is that spending and the investments maybe even outside of the aircraft fleet and to achieving that double digit margin target?
Mike Leskinen: Brandon, I appreciate the question. It's something we think about a lot in the finance department these days at United. CapEx is elevated that refreshing of the fleet, the growth of the fleet has been absolutely integral though to the United next strategy. The gauge increase from the narrowbodies, that's frankly what's driving our ability to provide basic economy, which is creating a competitive dynamic that is just fundamentally reshaping the industry. So they are intertwined. That said, as the strategy progresses and our margins expand, I am focused on free cash flow conversion. And in the near term, in the next two or three years, we're focused on a free cash flow conversion target of 50%. We're not going to manage perfectly in every individual year. But over the next three years, I would use 50% as a target. Later in the decade, I am aiming higher, I think, 70% to 75% longer term than that, I think there's opportunity. But near term, think about 50% and later in the decade think about a target of 75% for free cash conversion.
Brandon Oglenski: Mike, I appreciate that. It's actually very helpful. And that's within the context of that $7 billion to $9 billion outlook on CapEx for the next few years, right?
Mike Leskinen: $7 billion to $9 billion remains the target for the next few years, and we'll give you an update to that in the future. But for the next few years, $7 billion to $9 billion remains the target. And let me say for the third time, that has a downward bias next year.
Operator: Your next question comes from the line of Mike Linenberg with Deutsche Bank.
Mike Linenberg: And obviously, keeping with your no-excuses mantra, I thought it was interesting that there was nothing in the release as it related to CrowdStrike. I know, Mike, you called out 1 point of CASM, but at the end of the day, you did cancel, I want to say, it was like either 2,500 or 2,600 flights on United and its partners. What was the revenue impact? Or is it just with your booking tools, your ability to reaccommodate maybe better than others that the revenue hit maybe was not as much as even worth reporting?
Mike Leskinen: Scott and Andrew, if they want to provide some detail, obviously, they can. But healthy businesses, healthy industrials, healthy businesses, they'll make excuses about CrowdStrike, they'll make excuses about weather. We build into our guidance, the expectation there will be one act of God in a quarter that impacts the business in a negative way. And if that impact ends up not being so large then we can beat -- coming at the high end or beat our guidance. If you have a series of events in a quarter or a massive event, then of course, you're not always going to hit your guidance. But I think it's just basic setting of targets in a way that expects it not always to be a perfectly sunny day.
Scott Kirby: And I'll -- actually use this to expand on a cultural philosophy that I think is really important here. And when I was a cadet at the United States Air Force Academy, the best thing I learned was no excuses, may have no excuses [Technical Difficulty] it's easy to point to the things that aren't your fault, they don't feel like they're your fault, but that was one of your basic answers. And we have tried to get that philosophy and still throughout United. What that means is it forces you to constantly get better. It's easy to have an MBA in a cubicle somewhere come in at 9:00 a.m. on Monday in an air-conditioned office and calculate how much some event outside of your control cost. And it’s right, I mean it's not that it's wrong. But that -- then that's the end of the story. If you have a no excuses mantra and you don't allow people to even go calculate those numbers, it forces people to go find innovation, creative ways to get better and better and better, so that you can overcome those things when they happen. And we have said it a few times on this call. We are the innovation leader in the airline industry around the globe and second place is far behind. And the no excuses philosophy is a big part of that. It forces us to do things that we wouldn't otherwise do if we let ourselves just look at the calendar or look at the bad things that happen and write those off. And so I think it's a really important cultural point that the team has on both the revenue side and the cost side. And I'm proud of the team for taking it to heart, our Chief Operating Officer is in the room, Toby, and he says it in a different way, but great. He says, -- we're talking about things like the weather. And it may not be our fault but it is our responsibility and that's the attitude we have here at United.
Mike Linenberg: And then just, Andrew, just on -- looking more towards the smaller cities in your network during COVID, I want to say there was probably 30 or 40 markets that you had pulled out of because of the pilot issue. It now feels like that that's been alleviated somewhat. When I think about your competitive moat in some of those markets you serve, you were the only game in town. I know Mike has mentioned some RASM -- or some CASM pressure in 2025, maybe related to some additional regional flying. I suspect that maybe some of those markets are coming back online, anything that you can add to that.
Andrew Nocella: Just briefly, the RJ network -- well, first of all, the RJ flying has pulled back up to its new run rate in Q4. And so that has -- it has come back in line a little bit quicker than we anticipated at the beginning of the year and they are smaller aircraft and they do pressure CASM. We also think they help RASM and profitability, which is, of course, why we've done it. We are back to full utilization on the RJs at our new run rate fleet. We announced a deal, I think, last week for 11 CRJ-550s with SkyWest, that aircraft has been actually much better than expected for United. So we're glad to be able to expand that, which allows us to better serve these smaller communities. But I also don't think there's a large scale change coming at United and how we serve these smaller communities. Our plan over the long run is slightly less scheduled [debt] with lower frequency with aircraft that are bigger that have lower unit costs. We said that with United Next a number of years ago, we continue down that road and down that philosophy. So expect the RJ fleet to still be around and do this thing, but it will become a smaller and smaller percentage of the business. And we will serve the smaller communities with a mixture of RJs and mainline jets and have the lowest cost possible in those communities.
Operator: Your next question comes from the line of Steve Trent with Citi.
Steve Trent: Linda, best wishes to you on your retirement. I wanted to ask, very good trajectory in terms of reduced leverage. Could you give us some high level view on how this could dovetail with your credit strategy, maybe investment grade rating on the horizon?
Mike Leskinen: As our margin expands and our leverage decreases, we expect we will have investment grade metrics and we're going to work very hard earn the trust of the credit rating agencies to get investment grade ratings to go along with those metrics. But 2 times -- less than 2 times net debt with margins that are double digit with an industry structure that is more resilient with United as the leader within that industry that's an investment grade company.
Steve Trent: And just one other quick question. You guys have some great partnerships with names like Copa and some of your Star Alliance fellows. Do you anticipate a fair bit of long term growth coming from these partnerships, or are we really going to think about organic drivers for the growth?
Mike Leskinen: Our partnerships are incredibly important to us and we do have the marquee names across the globe with great hubs that we plan to. However, our approach to growth is balanced. As I said earlier, we have the ability to grow profitably in our partner hubs but we also have the ability to grow just as profitably outside of our partner hubs. We do incredibly well to London Heathrow, for example, which is not a partner hub for us. And so I would expect a balanced approach to this, again, with the idea of expanded margins. But we will look to expand into new regions of the world that I think are uniquely supportable by habit hubs that are in New York and Washington D.C. and San Francisco, in particular. Those hubs just simply unlock the ability to fly to places like Marrakesh or Greenland or other places that we've recently added to the map. So international is an important part of United. We're clearly the largest of the big three flying overseas. We expect that to continue. But most importantly, we have really good margins, at least across two of those big entities today and we look to expand those margins going forward.
Operator: We will now switch to the media portion of the call [Operator Instructions]. Your first question comes from the line of Leslie Josephs.
Leslie Josephs: I just wanted to ask around the election. I know one of your competitors talked about decline maybe a week before and a week after. Can you talk a little bit about what you're seeing? And then also in this quarter, seeing some really, really low fares to Europe kind of across the board, across airlines and destinations. And can you talk a little bit about that, what demand trends you're seeing? And if this is just kind of a maybe a function of a lot of capacity, maybe people traveled already or what -- kind of what's at play there?
Scott Kirby: In terms of the election, I think what we would say is a presidential election normally has an impact on RASM. Fewer people travel that week for the obvious reasons. And here we are, it's four years later and we are seeing the same thing. So I don't think there's anything to be surprised by. In terms of Europe, Europe has a very good outlook. We've had a very good nine months so far in Europe. We expect it to be good one for the rest of the year. If you see a great fare out there, I urge you and all your friends to buy it and take a trip to Europe. It's great in the winter, particularly Southern Europe, Rome is excellent in the winter.
Operator: Your next question comes from the line of Mary Schlangenstein with Bloomberg.
Mary Schlangenstein: I wanted to see if you could go back a little bit on some of your comments about the outlook for Asia and China, and how that might be changing and whether United plans to add back any additional China, US routes anytime soon?
Scott Kirby: I'd say and I've said this in the past, China is just completely different for United today than it was pre-pandemic. We used to fly, I think, roughly 10 flights a day to China, and I think those days are gone. The demand environment is just entirely different. We just recently resumed Los Angeles to Shanghai and we're bringing that up to daily, that will bring us to three daily flights. And I really don't anticipate based on the demand we're seeing a lot more than that anytime soon. It's just a completely different world. The situation in terms of the RASM, which I was talking about earlier is, as we've gone back to what is now a full schedule to China, we're back to what I would describe as normal RASMs. And those RASMs came down significantly from -- during the pandemic time period where we used to fly a few flights per week. And so that has had a negative impact on our year-over-year RASM results across the Pacific for a number of quarters. However, that comes to an end in Q4 and in Q1 when we lap that completely. And therefore, the RASM impact -- the negative RASM impact of China will dissipate and we see this pivot that starts in Q4 and hopefully continues into next year.
Mary Schlangenstein: And can you give us an idea of the load factor on your China flights?
Scott Kirby: I don't have that in front of me, but not high enough.
Operator: Your next question comes from the line of Rajesh Singh with Reuters.
Rajesh Singh: I have a question about Boeing's price. When does it start affecting your United schedule? And secondly, Emirates President, Tim Clark, recently said that Chapter 11 is looming on the horizon for Boeing. Do you share that view and have you done any contingency planning around that possibility?
Scott Kirby: It's hard to hear all of that, but we're not anticipating the outcome you described.
Rajesh Singh: And do you expect -- when does this strike start having an impact on your schedule?
Scott Kirby: It really does, it’s that's immediate when the aircraft have stopped delivering. But as I said in my earlier comments, we have -- we're encouraged that Boeing is focused on the long term. We want them focused on the long term. I talked to Kelly as recently as yesterday and appreciate his focus on the long term, and that's what we care about. It has a short-term impact but I think Boeing is positioning themselves for a strong turnaround in the long term.
Operator: That concludes our question-and-answer session. And I will now turn the call back over to Kristina Edwards for closing remarks.
Kristina Edwards: Thanks, Krista. And thanks to everyone joining the call today. Please contact Investor Media Relations if you have any further questions, and we look forward to talking to you next quarter. Happy Halloween.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation and you may now disconnect.